Operator: Thank you for holding. Your conference will begin in five minutes. Thank you for your patience. Good morning, and welcome to the Vornado Realty Trust Fourth Quarter 2025 Earnings Call. My name is Nick, and I will be your operator for today's call. The call is being recorded for replay purposes. All lines are in a listen-only mode. Our speakers will address your questions at the end of the presentation during the question and answer session. At that time, please press star then 1 on your touch-tone phone. I will now turn the call over to Mr. Steven Borenstein, Executive Vice President and Corporation Counsel. Please go ahead, sir.
Steven Borenstein: Welcome to Vornado Realty Trust Fourth Quarter Earnings Call. Yesterday afternoon, we issued our fourth quarter earnings release and filed our annual report on Form 10-K with the Securities and Exchange Commission. These documents, as well as our supplemental financial information package, are available on our website, www.vornado.com, under the investor relations section. In these documents and during today's call, we will discuss certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release, Form 10-K, and financial supplement. Please be aware that statements made during this call may be deemed forward-looking statements and may differ materially from these statements due to a variety of risks, uncertainties, and other factors. Please refer to our filings with the Securities and Exchange Commission, including our annual report on Form 10-K for the year ended 12/31/2025, for more information regarding these risks and uncertainties. The call may include time-sensitive information that may be accurate only as of today's date. The company does not undertake a duty to update any forward-looking statements. On the call today from management for our opening comments are Steven Roth, Chairman and Chief Executive Officer, and Michael Franco, President and Chief Financial Officer. Our senior team is also present and available for questions. I will now turn the call over to Steven Roth. Thank you, Steve, and good morning, everyone.
Steven Roth: Here at Vornado, business is good and getting better. As you all know, Vornado is a premier Manhattan-centric office company. And I'm sure we can all agree that Manhattan is clearly far and away the best office and residential, too, by the way, real estate market in the country. Predicted on our recent calls, New York is now on the foothills of the best landlord's market in twenty years. We believe this landlord's market in Manhattan will continue to tighten and last for a long time. Fundamentals are truly outstanding and the best ever. Long and short of it, is that tenant demand from finance, tech, and most other industries is extremely robust, in the face of declining availabilities and the better building subset. Take a look at our assets. We have the Penn District, our city within the city. A roster of our other assets in the better building category where in-place rents are well under market. And market rents are rising. We have an irreplaceable portfolio of very scarce, think scarce as hen's teeth, high street retail assets on 5th Avenue, and in Times Square. We have the largest and most successful and growing large format signage business. We have in-house our wholly owned vertically integrated cleaning and security company. We have the best development program in town highlighted by 350 Park Avenue, 1015, and now 623 5th Avenue. And most importantly, we have the best management team leasing, development, finance, and operations in the business. In short, we are a very focused Manhattan-based office power specialist. And while not in Manhattan, let's not forget 555 California Street, but they're still being rapidly recovering San Francisco. Where occupancy is 95%. And rent is north of $160 per square foot in the tower. At Vornado, we had an industry-leading quarter and an industry-leading year. In almost every performance metric. And when I say industry-leading, I mean better than the other guys. Here's the scorecard. During 2025, Glen and his team leased 4,600,000 square feet of office space overall. Consisting of 3,700,000 square feet in Manhattan. 146,000 square feet in San Francisco, and 394,000 square feet in Chicago. This was our highest Manhattan leasing volume in over a decade, and our second-highest year on record. Excluding the 1,100,000 square foot master lease with NYU, our average starting rents in Manhattan were $98 per square foot. With mark-to-markets of plus 10.4% GAAP and plus 7.8% cash and with an average lease term of over eleven years. The second year in a row, Vornado was the clear leader in $100 per square foot leasing. With 46 leases totaling 2,500,000 square feet. Or two-thirds of our activity. PENN1 and PENN2 led here with a total of 23 deals comprising more than 1,000,000 square feet between both properties. In the fourth quarter, we executed 25 New York office deals totaling 960,000 square feet. At an average starting rent of $95 per square foot. Mark-to-markets for the quarter were plus 8.1% GAAP and plus 7.2% cash. At an average lease term of ten years. Half this activity was for leases with over $100 per square foot starting rents. 2025 results reflected the market's growing appreciation for our transformation of the Penn District. Tenants and brokers get it. High-quality office space, the best transportation literally on top of Penn Station, the region transportation hub, and the plethora of amenities and hangout spaces are unmatched. In 2025 at Penn at Penn two, we leased 908,000 square feet and average value went to $109 per square foot. With an average term of over seventeen years. This includes 231,000 square feet leased during the fourth quarter, average starting rent of $114 per foot. With an average term of over thirteen years. All well above our original underwriting. We have now leased over 1,400,000 square feet of PENN two since project inception, putting us at 80% occupancy, hitting the target, which we guided. To. Expect to finish the lease-up this year. Based on the leases we have executed and the activity in the remaining space, we have increased our projected incremental cash yield from 10.2% to 11.6% as you will see on page 22 of our supplement. At ten one, we leased 420,000 square feet during the year at average starting is $97 per foot. Also well above our original underwriting. Since the start of physical redevelopment at PENN1, we have leased over 1,700,000 square feet at, an average starting rent of $94 per foot. At ten two, we have just 348,000 square feet of vacancy left to lease, At PENN1, we have 177,000 square feet of vacancy left to lease. Plus half a million square feet of first-generation leases still to roll over. The good news is that this will all generate income very shortly. At 10:11, we finalized two important leases during the fourth quarter as our major tenant there expanded by another 95,000 square feet. Bringing their total footprint to 550,000 square feet and AMC Networks renewed for a 178,000 square feet. In 2025, our office occupancy rose from 88.8% to 91.2%. Pause here for a minute and dig in. There's some re there has been some recent chatter about physical occupancy call it leased occupancy, versus economic occupancy, call it GAAP occupancy. Most look at the difference on a square foot basis. I prefer to look at it on a dollars and cents basis. The former, leased occupancy, is based on signed leases, including those not yet recognized by GAAP The latter, GAAP occupancy, represents leases that are recognized as paying GAAP rent. At Vornado, the difference is over $200,000,000 which is revenue signed and committed that will be GAAP recognized over the next several years. That number represents gross rents, if the buildings are already paying full taxes at and almost full operating expenses that gross revenue number is very close to net. Income is pretty much of a sure thing. A word of caution to those who are modeling there are lots of in and outs that go into our financials, and I suggest that you not use more than a 40¢ uptick in the twenty twenty seven year. Our New York office leasing popular pipeline remains robust nearly a million square feet of leases in negotiation. At various state at various stages of proposal. Michael and Glen will talk about this in a minute. Recognizing the shortage of large blocks, in the better buildings, we can make available and are bringing to market prime space of up to 380,000 square feet at ten one, up to 350,000 square feet at PENN 2, and up to 400,000 square feet at 1290 Avenue, The Americas. We are making available to the marketplace what our clients need and want. Demand for our retail assets is robust and accelerated. Now turning to our development program. Construction will commence in April two months from now, on our 1,850,000 square foot 350 Park Avenue new build, with as our anchor tenant and Ken Griffin as our 60% father. At our 1015 site, we have been busy with responding to anchor tenant requests for proposals with substantial blocks of space. We recently acquired two very high potential development assets in unique locations which I call in the middle of everything. 623 5th Avenue is a 380 thou 80 383,000 square foot asset. That was originally built to the highest standards by Swiss Bank Corporation as The US headquarters. Our assets sits on the top of Saks 5th Avenue flagship and starts at Floor 11, up to Floor 36. We acquired acquired the property in September for $218,000,000, or $569 per foot. Here's why I think this is the best deal ever. Location is the middle of everything with unique light, air, and city views. You can reach out and touch Vacavela Center, Saint Patrick's Cathedral, JPMorgan Chase's new headquarters, and even our 350 Park Avenue. Just for the fun of it, a look at this location on Google Maps. The building is substantially vacant, which is a huge advantage to us as a redeveloper. Built in 1990, the building is modern. Our business plan is to create here the 220 Central Park Southland boutique office, I e, the best of the best. We acquired this asset for $569 a foot. The finished product all in soup to nuts, including tenant concessions, is budgeted at $1,175 per foot. We will be creating here a new soup to nuts building every bit equal to a ground up new build perhaps the price at in a premium platinum location. We will deliver to tenants by the 2027, the time of a new bill. Recognizing that sex with dad W, Now In Bankruptcy, Has An Uncertain Future, I Believe That Any Outcome To The Saks 5th Avenue bankruptcy will be good for us. And the punch line is at a 10% return on cost, with, say, a 5% exit or measure of value we will achieve a double or with leverage a four bagger or an 11¢ incremental increase to earnings. In January, we closed for a 141,000,000 on the acquisition of three years 54th Street, a development site that is between 5th Avenue and Madison Avenue. On 54th Street. Adjacent to the St. Regis Hotel and on our prime up for 5th Avenue retail property. We previously acquired the $85,000,000 mortgage on this property which accreted to a $107,000,000 that was credited toward credited towards the purchase price. The development site currently is owned 232,500 square feet as of right. And the location is excellent for hotel office, and residential uses. Are considering several options for the site and have already received interesting income. On 34th Street, Mace Avenue on 34th Street, Mace Avenue, you'll develop a 475 unit rental residential building. And expect to break ground in fall of this year. My use of the word junkie in last quarter's earnings got a lot of attention. I don't know why. Any in any event, we will replace the junkie retail on both sides of 7th Avenue along 34th Street. The gateway to our Penn District was more modern appealing, and exciting retail offerings. This will be another step forward and enhance our enhance what we have already accomplished at Penn. Our 50% owned Sunset Pier 94 with partners h and Blackstone. Manhattan's first purpose built film studio facility. Has just opened. And all six sound stages were immediately leased by Paramount and Netflix. These are short term leases but a great start. The Perch, a large glass pavilion on the rooftop of PENN 2 with indoor and outdoor food and drink. Meeting and hanging space has been so well received that we did it again on the 17th Floor setback at 1290 Avenue Of The Americas. This pavilion has just opened, and together with a 10 stall five iron golf operation, and new restaurants to come, makes 1290 the single best building on 6th Avenue. And that's in my opinion, and that's a mouthful. Invite all of you to come take a look. Just call Glen. Our tenants love these spaces, they represent our continuing leadership and innovation in the hospitality side of our business all to the delight of our tenants. Credit to credit to Glen and Barry for design and execution here. Not so long ago, $100 rents were rare. Now they are ubiquitous in the better buildings. With some rents reaching $200 and even an occasional $300. Why? It might be as I mean, I said that there is a profound shortage of quote, better close quote space. Or it might be that the cost of a new build has doubled. It now costs, say, $2,500 for foot. To build a new tower in Manhattan. Can all do the math. Even at these higher rents, it's touch and go to make a new tower pencil. which are very difficult And by the way, these new bills are multibillion dollar monsters for most to finance. Here at Vornado, we have always believed in maintaining a liquid cash heavy balance sheet. Our liquidity is $2,390,000,000.00 comprised of cash balances of $978,000,000, and our ongoing credit lines of $1,410,000,000.00. Over the last several months, we extended maturity through 02/2031. On nearly $3,500,000,000.0 of debt, and we sold $500,000,000 or five and three quarter percent seven year bonds to prefund the maturity of our $400,000,000 two point one five percent June 26 bond. Why'd we go to market six months early? We follow the golden rule that that it's wise to take the money when the markets are wide open and welcoming. And that certainly allows us to sleep at night. We are pretty good at math, and it's clear to us that there is huge disconnect between our stock price and the value of our assets. Accordingly, we have gently put our toe in the stock buyback order. Over the last few few months, we bought back 2,352,000 shares for $80,000,000 at an average price of approximately $34. Since our border authorization in 2023, we bought back a total of 4,376,000 shares for a $109,000,000 at an average price of approximately $25 per share. Think about this. For the stock is a better buy today than it was at $15 three years ago. As a believer in the predictive power of the stock market, I am certainly aware of the recent decline in our stock and in fact, the decline in all real estate stock. Our case, the decline was in the face of best fundamentals in Manhattan in the last twenty years. Well, this most likely represents a great buying opportunity we will proceed with care looking over our shoulder. There are few investments we can find that are more attractive right now than our stock. This disconnect continues, we will become more aggressive. As you can see from my opening remarks, we have a lot going on. I can tell you that the activity level in the market and in our office is double what it was. All good stuff, but it's fun. Now, Michael, your turn.
Michael Franco: Thank you, Steve, and good morning, everyone. Comparable FFO was $2.32 per share for the year. As previously forecasted, this was slightly higher compared to 2024 comparable FFO and better than we had anticipated at the beginning of the year. Fourth quarter comparable FFO was $0.55 per share, compared to $0.61 per share for fourth quarter 2024. This decrease was primarily due to higher net interest expense and the lease termination income at 330 West 34th Street in the prior year's quarter. Partially offset by rent commencements, net of lease expirations, higher FFO resulting from the NYU master lease at 770 Broadway, and higher NOI from our signage business. We have provided a quarter over quarter bridge on page two of our earnings release and on page eight of our financial supplement. Overall, company same store GAAP NOI was up 5% for the quarter. While same store cash NOI was down 8.3%. As explained last quarter, GAAP is more relevant to earnings, given the cash numbers impacted by free rent from the significant amount of leasing in recent quarters. As well as the adjustment in cash rent related to the Penn one ground lease truck. Now turning to 2026. As we previously mentioned, we still expect 2026 comparable FFO to be in line with 2025. Due to the anticipation of some noncore asset sales in taking income offline in connection with our plans to redevelop 350 Park Avenue and the 34th And 7th retail at Penn. First quarter will be more impacted due to GAAP rents ramping up throughout the year. Higher interest expense from our recent bond issuance and some seasonality relating to our signage business. As we previously indicated, we expect there to be significant earnings growth in 2027 as the positive impact from PENN1 and PENN2 lease up takes effect. We had indicated on prior calls that we expected to achieve New York office occupancy in the low nineties in 2026. We got there early. New York office occupancy increased this quarter to 91.2% from 88.4% last quarter. Due to the significant volume of leasing we accomplished. Principally in the Penn District. As we execute on our strong leasing pipeline, we anticipate that our occupancy will continue to increase over the next year or so. Turning to the capital markets. The financing markets also recognize that the New York office market is back. And performing at a level superior to any other market. The financing markets for these assets are very strong and liquid. With CMBS spreads reaching their tightest levels since 2021. And banks continuing to expand lending for class a assets with solid rent rolls. The unsecured bond market also remains strong, and continues to be constructive for office credits in the right markets. With new issue spreads remaining tight. We took advantage of both these markets recently. As Steve mentioned, since last quarter, we've been very active in refinancing our near term maturities and bolstering liquidity. With nearly 3 and a half billion dollars of financings. Addition to completing several mortgage refinancings, we also refinanced our unsecured term loan upsizing the loan amount by 50,000,000 to $850,000,000, and extending the loan's maturity date from December 2027 to February 2031. We also refinanced one of our two revolving credit facilities and upsized the second facility. So now we have one $1,130,000,000 revolving credit facility that matures in February 2031. And another $1,000,000,000 revolving credit facility that matures in April 2029. We very much appreciate the strong show of commitment from our banks including a few new entrants to our facilities. We also took advantage of the strong conditions in the market and completed a $500,000,000 seven year unsecured bond offering at 5.75%. Which was significantly oversubscribed. A portion of net proceeds these notes will be used to repay our $400,000,000 senior unsecured notes to mature in June. In total, since mid 2025, we have refinanced or repaid almost half of our balance sheet. Including almost all of our unsecured debt, terming out our maturities and putting our balance sheet on even stronger footing. Our net debt to EBITDA metric has improved 7.7 times from 8.6 times at the start of the year. And our fixed charge coverage ratio, as expected, continues to steadily rise expect these ratios will continue to improve over time. As income from PENN one and PENN two comes online. Recognition of the significant improvement we've made in our balance sheet metrics, over the past eighteen months, S and P recently changed their credit outlook on our company from negative to stable and affirmed by triple e minus unsecured rating. We are hopeful Fitch and Moody's will follow suit as our balance sheet continues to improve. With that, I'll turn it over to the operator for Q and A.
Operator: Thank you. We will now begin the question and answer session. If you have a question, please press star, then 1 on your touch-tone phone. If you wish to be removed from the queue, please press star, then 2. If you are using a speakerphone, you may need to pick up the headset first before pressing the number. Once again, if you have a question, please press star then 1 on your touch-tone phone. Each caller will be allowed to ask a question and a follow-up question before we move on to the next caller. And the first question will come from Dylan Burzinski with Green Street. Please go ahead.
Dylan Burzinski: Hi, guys. Thanks for taking the question. Maybe just touching on the 350 Park announcement. In the release. Is there anything that's changed in the structure at all versus what was originally disclosed back in, I think, December 2022?
Michael Franco: Good morning, Dylan. Thanks for joining. So you know, in terms of the agreement, you know, Ken Griffin wanted to the option exercise, which we were fine with. And, you know, in the course of that, you know, there were some amendments you know, related to the overall deal. Nothing, I would say, tremendously substantive in terms of the economics, but it gave Vornado and Ruden the flex to effectively rather than just a fixed equity percentage investing anywhere from you know, we put our percentage of 20 to to 36%. So, you know, that's the that's that's the main change A couple other minor things, but I think that was the most material thing. But it's a project, you know, we're very excited about. He's very excited about You know, obviously, in the in the filing, the clock started, but we're excited about it. And and I know there were questions about toilet or so on. You know, we we intend to be part of this project.
Dylan Burzinski: Okay. That's helpful. And can you guys kinda just talk about sort of yield expectations, what that implies, and sort of required rent level. Just anything as it relates to sort of the the economics. And I guess is it still Citadel's plan to sort of take down, I think it was, like, 50% initially.
Michael Franco: So, you know, we'll publish that as we go a little bit closer to that date. There's a few things still moving around, but know, as we as we indicated originally, you know, there is a formula that determines Citadel's rent. It's effectively you know, it's it's based on a premium to what permanent financing costs are with a cap and collar So that that was unchanged. You know, Citadel still finalizing their space planning. But I would tell you in general, their appetite for space has grown from the original deal. So you know, when when we finish all that over the next few months, you know, we will publish that, but I don't I don't wanna jump the gun just yet. Needless to say, think it's gonna be an extremely attractive project Economically, we think it's going to be, you know, best building in the city. And, you know, we think the space we're gonna have, Billy, is is gonna command the highest rents in the city.
Operator: The next question will come from Steve Sakwa with Evercore ISI. Please go ahead.
Steve Sakwa: Yes, thanks. Good morning, Glen. Could you maybe just provide a little color on just kind of your overall leasing pipeline and you know, the conversations that you're having with tenants, you know, about space in the market today?
Glen Weiss: I do. So our pipeline continues to be really strong. I mean, that's even after leasing 3,700,000 feet last year. As Steve said in his remarks, we're creating opportunities of big box space within the building, namely of PENN1 and twelve ninety. To meet the market, have the inventory as we see tenants expanding and coming into New York rapidly. With immediate needs. So those are all great signs. You know, in the pipeline, more than half of the activity or tenants that that will be new to our buildings and the other 50% of renewals and expansion We're seeing financial services and the law firms expand a lot within the portfolio right now. Our first quarter leasing activity will reflect that. The tech tenants are also growing a lot. As you saw at Penn eleven last quarter, we're seeing action everywhere. New York is hitting on all cylinders. Our team is hitting on all cylinders. And coming off a huge drill like we had last year. We don't see any let up in that at all.
Steve Sakwa: Okay. Thanks. And then maybe as a follow-up, Steve, you mentioned the share buybacks and the disconnect with NAV. In in other property types, we are seeing know, some of the public REITs lean more heavily into dispositions and know, paying down debt but using those excess proceeds to buy back stock. Is that something that you know, you would entertain more aggressively given where the stock is today?
Steven Roth: Yes.
Steve Sakwa: Any other comments beyond yes?
Steven Roth: Double yes. We have a we have a few assets up for sale which will generate capital. We think our stock is stupid cheap. I think in past years, I said stupid stupid, double stupid, so that's double yes. And the stock is probably the single best investment we can make now other than six two three fifth, which is obviously I'm in love with.
Operator: The next question will come from Floris van Dijkum with Ladenburg. Please go ahead.
Floris van Dijkum: Hey, guys. Thanks taking my question. My question is regarding your the difference between your cash and GAAP same store NOI. And I think, Michael, you indicated that throughout the year, this is going to inflect. Do you get can you give us a sense of when that inflection point will happen and when your cash NOI will will turn positive?
Michael Franco: Good morning, Floris. You know, I think I said on the last call, it remains the case that we would start to see that flip over in the second half '26, and that that remains the case. So I think you'll see it improve, you know, quarter by quarter but it won't flip until the back half of the year. You know, when when, you know, those tenants start or many of those tenants start paying rent.
Steven Roth: Mean, the answer is when when the when the very ugly and painful free rent burns off, that's when the cash begins to come become positive and starts to reflect a similarity to graph. The gap. So that's coming And maybe That's coming and coming pretty soon.
Floris van Dijkum: That which that's encouraging. My follow-up question is regarding your your retail, particularly your Upper 5th Avenue retail, maybe could you talk about what are what's happening to to rents there relative to in place, and maybe remind everyone what your in place rents are for your Upper 5th Avenue JV. And Then Potential Monetizations For That. And I Believe I I What's Happening With The 657 5th Avenue, I think that's a new meta. Is that a permanent lease, or is that still a pop up, lease?
Steven Roth: Oh, boy. There's activity on the Middle East which will be which which really it's it's inappropriate to talk about it now. So that's step one, which involves the MediStore going long term. With respect to the leases, generally, the retail market on Upper 5th And Times Square is improving dramatically and rapidly. But it is still struggling to meet the up the the the top tick rents up four or five years ago. It's getting there, but it's struggling.
Operator: The next question will come from John Kim with BMO Capital Markets. Please go ahead.
John Kim: Steve, you gave some very interesting information on the difference between the gap occupancy and leased occupancy. I'm assuming that $200,000,000 difference is annualized. But I was wondering how much of that you expect to get by the end of this year and by the end of '27?
Steven Roth: It's it's actually not annualized. It's an absolute number. And to be honest with you, my finance guys are sitting here right across from me shooting daggers at me. The number is higher than $30,000,000. But in a in an abundance of caution, they wanted to keep it at $2,000,000. So $200,000,000 is is is a slightly lower number. It's a one timer number, and it feeds in as as a tenant sold from go into GAAP it feeds into GAAP as as tenants even take occupancy or they meet the standards for GAAP recognition of income. So that's what that number is. It happens over the next you know, as the leases mature not mature is not the right word. The leases Right. The tenants build out their spaces. Right? Someone could start recognizing the GAAP right in here. The GAAP recognition is the tenants have to either build out the spaces or take Mhmm. That happens, you know, quickly over the next year or two. I don't have a plot as to exactly how much per month but a lot of it comes in in in in first year, a lot of it comes in the second year. And, I mean but the interesting thing about it is that is income which is in the bag. The leases are signed and it's just a matter of a small amount of time as to when they go with the GAAP recognition. Now the 40¢ that I put at the end of that paragraph is a kinda strange guidance for something that's two years out, which is something we never do, And so it's kinda like strange. I wouldn't rely upon it too much. It's not a guaranteed certified. I'll bet my life audit number. But it's sort of a number. But the $200,000,000, which is a little bit more than that, with a 100% certainty comes in income over the next number of years. Now the interesting thing about it is, which I tried to say, is is that the company is it's a simple company, but the financials are sort of a little bit complicated. There are ins and outs. So there are some tenants that'll move out. There are other things which will affect earnings positively and negatively. But that's, I think, the story. Anything to add there, Tom?
Michael Franco: No. No. I think you said Thank you.
John Kim: Did I do a For those of us who who like to look at percentage terms, that 91.2% leased occupancy, what is that in terms of physical or economic occupancy?
Steven Roth: Well, it's it's it's it's 92 it's 90 whatever Nine places. Ninety one forty two? In New York City. In New It's ninety one forty two. Manhattan office. It's 91 and change versus 88. And change. And by the way, we expect we expect that occupancy number to go up.
Operator: The next question will come from Jana Galan with Bank of America. Please go ahead.
Jana Galan: Thank you. Good morning. Maybe also following up on some of the strange guidance. If we could get some more details on June and did I catch in your comments that it could add 11¢ to FFO?
Steven Roth: I'm sorry. I didn't get the $6.02 cents. What about Comments on the 11¢ to it. So Well, it's just math. So you know, my guys are laughing at me, but, I mean, I I'm I'm in love with this asset. I think it's probably the best acquisition ever. So the building is basically empty. The prior Aurora was emptying the building out to convert it to residential. We think that that's not the right program. We're gonna make it Glen's assignment to me is make this thing the two twenty boutique office, meaning the best of the best of the best, which will generate the best. The best income. So we believe that the finished product will cost 1,100 and change say, $1,200 a foot rounding. And we believe that the net income on the project will generate a scan over 10% just what think we have on on the supplement 10.1%. gonna have a 10% return, If you say that the project cost $1,200 a foot and That's an interesting number. Now we think if we can if we sell that building, which I'm not saying we will or we won't, it probably would command if any building will command the 5% cap rate in the marketplace, it would be that building. Which starts on the 11th Floor on top of Saks in a spectacular location. And by the way, I was being quite sincere when I said, take a look at the location on Google Map. It's just Spanish. So if you build it to a 10 and you sell it to at a five, that is basically a doubling of your money. Or if you put 50% leverage on it, that's a quadrupling of your money. If, however, these the value is in the income stream in the company, we think that that will generate a little bit more than 11% 11¢ incremental return. How do I get that number? $50,000,000 of income. Less the cost of capital on the on the $1,200 a foot cost yields 11% or slightly more than 11%. I hope that answers your question then. What? Sounds Sense. $11.07. Did I say? Percent. 11¢. Sorry.
Jana Galan: Thank you. That's very helpful. And then just in terms of the development costs, and, you know, I think there's debt on it now that you probably need to term out. What are kind of your expectations on that?
Steven Roth: We're going to finance the building as we always do. The it's it's not a great deal of money, couple $100,000,000. We're gonna complete the project. We're gonna let rent it out. One of the keys to it is that we will deliver we will deliver for for tenants. Probably the '27, which is less than half the time that it takes to build a new build, at less than half the cost. So those are part of the financial metrics that's the way I'm so excited about the project. When we get done with the project, we will keep it in our portfolio because we will expect that the rents will go up and up as as time goes on. And we will finance it as we finance all of our projects.
Operator: The next question will come from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey, good morning. Good morning, Steve. Can you guys walk through on 350 Park, just I know, Steve, you mentioned that it's part of the guidance for this year and that on a recurring FFO, it's flat. But you just walk through sort of the mechanics of the income and how that is there's a master lease, but then you'll capitalize it. So just wanna understand the net effect, especially as we think about our 27 and what the carryover is from $3.50 going because you're you said you're gonna stay in the project. So just wanna understand the full effect. You're talking you're talking about the transition from the existing 350 Park Avenue built which will be taken out of service and demolished starting next month into a capitalized interest model. Is that right?
Michael Franco: Yeah. Yeah. Because I think there's a master lease right now. Right? There is. There is. So that that's going to terminate Well, it'll it'll be adjusted, I should say, when demolition starts, which will be April 1. So the answer is there's gonna be a little bit of a negative impact in '26 as we transition from demo to full capitalization. And, you know, next year, it'll be capitalized and will be basically on par with with what it was last year, but a little bit down this year.
Alexander Goldfarb: Okay. And then the second question is, Steve, on the dividend, you're one of the few companies that still is know, paying a a reduced, you know, a stub dividend, if you will. You talked about, you know, your liquidity. You talked about know, improving on the balance sheet. The rent that's coming online over the next few years, and yet still a lot of capital projects that you have in terms of various development projects. So how do you see the dividend versus taxable income? And when you see a full normal quarterly restoration of it?
Steven Roth: Well, first of all, we may be one of the few companies. I'm not sure of that, but there is a cue and cry in the marketplace with people that are overpaying their dividend to reduce their dividend to conserve the cash. So we're sort of aware of that. But nonetheless, you know, as a large shareholder, our management team has a and our board has a high incentive to pay a normalized dividend. A normalized dividend is in relation to two things. The the the internal revenue code requires that we pay out our taxable income. But, also, common sense says that we should pay to our shareholders something which is approximates the income stream of a normalized business. So it's not impossible that our regular income would be higher than our taxable income. So we we have an incentive to get back to a normal dividend as soon as we can. Which will not be this year, by the way. And as soon as we get back to normalcy, in terms of our income stream, getting all getting all of the renting that we have done paid for with the free rent and the at at at the DI, and get that all behind us we will then revert to a normal dividend.
Operator: The next question will come from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone: Okay. Thanks. I guess my first question, I was wondering if you could help a bit with sources and uses of funds over the next couple of years because as I'm listening to this, you've got a couple of redevelopments that that you now have teed up talked about, I think, last quarter, maybe building an apartment project. Buybacks are a priority. Sounds like you're be spending real money on 350 Park in the next couple of years as that gets underway. And just trying to add all this up and get a sense as to, like, you know, sources and uses, basically.
Michael Franco: I mean, Tony, I can't hey. Good morning. I give you, you know, dollar figure by dollar figure. What I what I would say is, as you would expect, you know, we're not willy nilly frivolous. Right? We have a capital plan We know what's in front of us. You know, and we have a business plan. Right? And that business plan is a combination of you know, financings generally at the asset level. Some asset sales, you know, etcetera. So and I would say in terms of development projects, other than six two three, which will be, executed, you know, this year and next, You know, the other projects are more back ended, particularly three fifty. Where, you know, our capital to the extent we invest above the land contribution. Which we don't have to, although I think given the attractiveness of it, We will. Assume we will. We will. Right? That capital, you know, given that our partner has to true up with us first and the bank's gonna fund some of that, there's no meaningful capital on $3.50 for several years. So the answer is we have we have a we have a plan We can do all the things that we've laid out. And, you know, we've sold assets the past. We have some things in the works. And, you know, we're confident that we can execute those, and we're gonna be you know, as Steve said in his opening remarks, we're gonna be mindful on the buybacks once we have, you know, the appropriate capital and and and to deal with everything else. So, Lou, we have a lot of things that we want to do, which we think will create significant shareholder value. So one of them is buying back our stock, which is a separate thing which is has to be done with care. So that we don't screw up our balance sheet, which we will not do. Ever. So one of the uses is buying back stock. So that's sort of like a subtraction. We do that with capital as it's available. Next thing is three fifty Park. Is a very important we hope extremely successful project The principal amount that we will be contributing to that is our land, which is free you know, which is easy. And then there's about 3 or $400,000,000 above that in cash that will represent our 40% interest or 36% interest And so that's not a great deal of money in relation to a $6,000,000,000 project because we're only a 40% partner. So we have a a 850,000 and growing anchor tenant that's signed. And we have a 60% partner. So the three fifty part project is a great project which from a financial point of view is is is not as challenging as you would think. The 623 5th Avenue project is easily financeable What else The TIs the most important thing we have from a capital point of view is the TIs. To put into occupancy and and convert it to GAAP Red the tenants that we've already signed. That money is already allocated. Then the residential project is, you know, that's multifamily finances very well. We already have the land unencumbered. You know, that that comprises a chunk of the equity and then not much cash above that. So now the next part of it is so that's a little bit about the uses. Now the sources are I would remind you that we have basically income producing part of the Penn District is free and clear. With no debt on it. So and those buildings have now become more valuable as as Glen and his team have leased them up. So we have the Meta Building in one free and clear. We have two Penn free and clear. We have Penn one free and clear. We have the Pen 15 site free and clear and on and on. So we have we have significant financing available to us should we need it or choose So that's without know, giving you a piece of paper, that's a verbal description of our capital plan.
Anthony Paolone: Okay. Thanks thanks for all that. And then just my my only follow-up is 354. I was wondering what the cost to to build a a a smaller building like that? I guess we're getting used to well over $2,000 a foot for the larger avenue type developments, it seems. Just wondering if there's any appreciable difference in a smaller mid block asset like that.
Steven Roth: A a little bit a little bit less. A little bit less. Okay. But not a not but not appreciably less.
Operator: The next question will come from Vikram Malhotra with Mizuho. Please go ahead.
Vikram Malhotra: Morning. Thanks for taking the question. So two ones. One, just a follow-up I wanted to just be crystal clear on the $0.4 going to next year. That an NOI comment incremental contribution? Is that sort of an FFO comment? Just how should we think about that? And then maybe just other big picture moving pieces as we think about this massive, earnings ramp?
Michael Franco: It's, it's FFO, Vikram.
Vikram Malhotra: Okay. It's FFO. Okay. Helpful. Just on street retail, I think you know, the team hired Newmark in the sort of a reenvisioning of Penn Station Penn District Street retail I'm just wondering, as you've thought about, like, the the street retail portfolio there, is there like a broad range or, like, a after doing all of this, what's the NOI uplift over over the long term?
Steven Roth: You know, we haven't split that out, and we're not really publishing projections on that. We will sometime in the short term future, but we haven't done that yet. But, you know, basically, the Penn District is a it's it's a district. It's office buildings. It's retail. It's events. It's a gathering place. It's it's the perch. It's the town halls. It's a it's a system of interaction and hospitality and work and workplaces, which is important. Each plays off the other and and and and increments the other and helps the other. So the retailer is very important as a as a separate business but it's extremely important as it affects our our our our demand for the office space.
Operator: The next question will come from Nick Yulico with Scotiabank. Please go ahead.
Nick Yulico: Thanks. Good morning. First on ten I was hoping you could just remind us about for the leases that were done so far, year and then when they're set to commence? I think MLS was assumed early this I guess, the bulk is sort of 2027 beyond, but I guess in relation to like the 80% lease number that you give for that asset, just how to think about when that will actually turn into GAAP NOI I guess, how much of that 80% actually is fully in 2027 as you're talking about that ramp next year?
Steven Roth: That's actually a a quite about detailed guidance, which as you know, we don't do. The only only I'd say, Nick, is that pen two, more of it will be online in '27 and '26.
Nick Yulico: Okay. And then, I mean, just in terms of the commencements this year then, what is it? Is is I think MLS was assumed, what, early this year? Is there anything else that's listed there from the tenants in the sub where their leases haven't commenced that you expect commencement this year?
Michael Franco: I would I would make a suggestion, Call Tom offline, see if you can wrangle that in. That that answer out of them, which I doubt you will. I mean, you know, you can use your own judgment. I mean, these are big leases. And they will come on, you know, in the next six months. If they don't come on in the next six months, they come on in the next twelve months. From my point of view, as an investor, it really doesn't matter that much. So they're coming. Whether they come three months sooner or six three months later, you know, that's interesting, but not this positive. But call Tom, see what you can get out of Tom. He's sort of laughing, by the way. He's waiting he's anxious for your call.
Steven Roth: The next question will come from Ronald Kamdem with Morgan Stanley. Please go ahead.
Ronald Kamdem: We're going back a minute. Going back a minute. I was really not trying to be anything other than responsive to your question for a company that really doesn't do detailed month by month guidance. So with respect, we'll talk. Next question.
Matt: Hey, guys. This is Matt on for Ron. Thanks for taking the question. Just going to the New York office TI and LCs as a percentage of initial rent. I noticed that ticked up in the quarter was kinda wondering what the drivers were and how we could think about the trend for the rest of 2020.
Glen Weiss: Hi. It's Glen. It's certainly not a trend It was an outlier quarter. We made a couple of deals where we stretched TI with not as much term on leases as we would have liked, but we wanted the tenants in these buildings for for reasons. We love the tenants. We love their credit profile, and they were great users for the assets. But not a trend at all. I expect we'll go back you know, to the to the you know, we've we've been around 12, 13% over the last few quarters, and I think concessions will will tighten. Going forward here this year. Free rent's already starting to come down, and TIs are really starting to squeeze So short answer, not a trend at all.
Matt: Got it. And then just as a follow-up, I noticed the projected cash yield on Sunset Pier 94 declined despite what looked like solid leasing activity on the property. Could you talk about, like, what the the drivers of that were?
Steven Roth: Reality. Which is our business, by the way. The streaming business is has some challenges. As you will know and read about in the papers. And, I mean, the fact that we leased a 100% of the space at the opening They're short term leases. They're they're not even a year long, so that's an interesting thing, but not indicative of the of the future. And it's just a matter of our our seeing realistic in our projection is to what the yield on the project will be. So the 10% went down to 9% as a result of reality.
Operator: The next question will come from Brendan Lynch with Barclays. Please go ahead.
Annabel Ehrer: Thank you. This is Annabel Ehrer on for Brendan Lynch. How should we think about the expected retention rate on the remaining twenty twenty six expirations? Especially the 600,000 square feet in the fourth quarter. And are there any larger blocks of space that you would call out?
Glen Weiss: Great question, Glen. Hi. It's Glen. We feel really good about the expiration this year. We're on top of all the measures you would expect. On the larger block expirations, we expect two of them to renew So we we feel good about our expiration schedule. We we've taken care of you know, huge expirations over the past three years. So if you look forward 2627, we're in great shape. So, you know, I think we'll be we'll be more than fine as it relates to attacking other future experts.
Steven Roth: Thank you. As you can tell from all of our remarks today, we're extremely constructive about the about the office market in Manhattan. We believe that it is tightening We believe that rents are going up. And by the way, rents are going up more rapidly than TIs or tenant inducements are going down. So our projection is and I don't Glen can give you his opinion. Is that free rent can go down because that's a discretionary item. TIs will probably not go down because the cost of construction of the tenant spaces is not going down. And it's in fact going up. So we believe the easiest is for the rents to go up. The second is for free rent to go down. And TIs are gonna be very, very sticky. Do you agree with that?
Glen Weiss: I agree with that. Although, I will tell you on the TIs, careful now because you have to produce the results. On the TIs, we're definitely squeezing them in terms of not being as flexible as we were. So I think the first thing was they're not going up for sure. We're squeezing them, you know, at these ranges that we've been seeing in hopeful they'll come down. Although I agree with Steve generally, free rents are coming down, and that's been more more easy to manage with the with the deal making for sure.
Operator: The next question will come from Seth Bergey with Citi. Please go ahead.
Seth Bergey: Hi, good morning. I kind of wanted to go back to 350 Park. I think in your opening comments, you mentioned that you know, Citadel kinda had an appetite to take additional square footage. I think they were kinda set to occupy around 850,000. Just could you kinda quantify how much more they would much know, be looking to take? Or, you know, are you in any other kind of conversations about pre leasing space in that building?
Steven Roth: Look. The Citadel relationship between Citadel and Vornado is a important. These are conversations that are still taking place. The Citadel team is still making up their mind as to what exactly their requirements are. And so as soon as we know and they become firm and agreed to, you will know, but not now.
Glen Weiss: On on the second part of your question, the energy and excitement around the spec office space is excellent. So we're presenting this project to many tenants as small as even 50,000 feet So if you think about it, tenants who are expiring in thirty one, thirty two, thirty three, are already asking us to present the project That's how much excitement there is in the market There will be nothing like this available in New York. And people realize that They recognize that between us and Citadel and Ken Griffin this will be the best building built in this city by far.
Steven Roth: And by the way, you can tell we're pretty damn proud of it.
Operator: That's that's helpful. I'd like to I'd like to try and end up today. It's close to 11:00 as we can. So it's 11:00 now. So how many more questions do we have?
Operator: This is it.
Steven Roth: This is it? No more questions? Really? Well, anyway, thank you all very much for joining us. We're very excited about the business. We're very active The activity level, as I said, has you know, it's palpably double the what it was even as recently as a year ago. And thank you all very much for your support. We'll see you at the next quarter.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. May now disconnect.
Steven Roth: Good.